Operator: Good afternoon and welcome to NeuroPace's Second Quarter 2024 Earnings Call. At this time, all participants are in listen-only mode. The question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Jeremy Feffer from LifeSci Advisors. Please go ahead, sir.
Jeremy Feffer: Good afternoon. Thank you for joining us for NeuroPace's second quarter 2024 financial and operating results conference call. On today's call, we will hear from Joel Becker, Chief Executive Officer, and Rebecca Kuhn, Chief Financial Officer. Earlier today, NeuroPace released financial results for the second quarter ended June 30, 2024. A copy of the press release is available on the company's website at neuropace.com. Before we begin, I would like to remind you that throughout this call we will make statements that include forward-looking statements within the meaning of federal securities laws which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements made during this call that relate to expectations or predictions of future events, results or performance are forward-looking statements. All forward-looking statements, including those around NeuroPace's projections, business opportunities, commercial expansion, market conditions, clinical trials, and those relating to our operating trends and future financial performance, expense management, estimates of market opportunity and forecasts of market and revenue growth, are based on current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For more detailed descriptions of the risks and uncertainties associated with our business, please refer to the Risk Factors section of our public filings with the SEC, including our recent annual report on Form 10-K for the year ended December 31, 2023, filed with the SEC on March 5, 2024 and our quarterly report on Form 10-Q for the quarter ended June 30, 2024, to be filed with the SEC and any other reports that we may file with the SEC in the future. This conference call contains time sensitive information which we believe is accurate only as of this live broadcast on August 13, 2024. NeuroPace disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. With that, I will now turn the call over to NeuroPace's chief executive officer, Joel Becker. Joel?
Joel Becker: Thank you, Jeremy, and good afternoon, everyone. I will start out today's call by reviewing our performance in the second quarter, as well as offering additional insights around our key business priorities for the second half of 2024, before turning the call over to our CFO Rebecca Kuhn to present the details of our financial performance for the quarter ended June 30, 2024, which will be followed by a Q&A session. Let's get started. We are pleased with the team's performance in the second quarter of 2024, demonstrating revenue growth, gross margin expansion and operating expense management as we continue to execute against our multi-phase growth strategy. For the second quarter of 2024, we reported total revenue of $19.3 million, up 17% compared to the same period last year. Revenue growth for the quarter included contributions from sales of the RNS system and DIXI Medical SEEG products and a small contribution from our strategic biotechnology collaboration. With the majority of the year-over-year growth coming from sales of the RNS system. RNS sales growth was even more impressive on a year-over-year basis if we consider that the sales results in the second quarter of 2023 benefited from enrollment in the NAUTILUS study. Excluding contributions from units from the NAUTILUS study in Q2 of last year, RNS sales growth in Q2 of 2024 was 21%. Our focus as we look ahead is to expand access to the RNS system by executing our three-part growth strategy of expanding adoption and utilization. Our Q2 performance was primarily driven by our focus on the first part of this strategy, increasing adoption and utilization of RNS systems in level four centers. This includes working with and training a greater number of epileptologists at existing centers to drive adoption, and we continued to expand the number of new RNS prescribers to record levels during the second quarter of 2024. As a reminder, the annual market opportunity for drug resistant epilepsy patients within level four centers is estimated to be over $2 billion, and as such, we have significant opportunities to grow within these centers. We also continued to make progress on the second phase of our long-term growth strategy of expanding access to RNS therapy outside level four centers, which we call the Project CARE program. We are currently in the pilot phase of the program and an encouraging early metric that we are tracking is the number of patient referrals associated with the program. We have begun to see an increasing number of referrals from the program into level four centers for RNS implants. We consider these referrals to be a positive sign as they show the impact we are having in generating broader awareness of RNS therapy and educating physicians and centers on which patients are good candidates. Activities around the expansion of the pilot care program include professional education activities such as webinars symposia, and peer to peer programs. This is accompanied by additional commercial activities such as the initiation of digital social media awareness programs, center contracting, and the placement of sales representatives in target geographies. With regard to our commercial organization, I'm also pleased to announce that our newly hired sales representatives have completed their training and will now begin independent activities in their sales territories and more fully contributing to our commercial efforts. These new sales representatives are primarily focused on the geographies where we have identified expansion opportunities outside of level four centers along with supporting geographies where we have been experiencing higher revenue growth in our RNS and DIXI product lines. We are excited about the contributions they will make to our business going forward. Finally, the third phase of our RNS growth strategy is based on expanding the approved indications for the RNS system. This effort is currently focused on the pivotal NAUTILUS study in which all implants are complete and the trial is in the patient follow up phase. We believe that the strong interest in this study is further evidence of the significant unmet need that exists for patients with drug-resistant Idiopathic Generalized Epilepsy. As a reminder, the NAUTILUS trial requires evaluation of a primary safety endpoint and an effectiveness evaluation 12 months post implant. If approved, our RNS system would be the first device with an FDA-approved indication for generalized epilepsy. This study has the potential to represent a highly meaningful market expansion opportunity and is on track to complete the one year follow up in the first quarter of 2025. In addition to the success our commercial team has had with our RNS system, we also continue to see revenue growth from our exclusive partnership with DIXI Medical to market and sell their diagnostic electrodes and related products for epilepsy. This is a highly complementary offering to our RNS system, which provides our sales team with an additional opportunity to call on physicians at the CECs. Lastly, we remain pleased with the strategic collaboration we entered into with a biotechnology company in the fourth quarter of 2023 through which we are providing services related to their phase two a clinical trial including, among other things, clinical trial readiness support, identification of potential patients, satisfying the enrollment criteria, and RNS system data reporting and analysis. We believe this groundbreaking collaboration is another example of the value that our RNS system can provide through its proven ability to collect and analyze data, which is then used to generate insights that can help inform treatment strategies. With that, as an overview of our operational progress, let me now turn the call over to Rebecca to review our financial results for the second quarter of 2024. Rebecca?
Rebecca Kuhn: Thank you, Joel. NeuroPace's revenue for the second quarter of 2024 was $19.3 million, representing growth of 17% compared to $16.5 million for the second quarter of 2023. This growth was primarily driven by increased sales of our RNS system. We also generated meaningful revenue growth from sales of DIXI medical products. Gross margin for the second quarter of 2024 was 73.4% compared to 72.5% in the second quarter of 2023. The improvement in gross margin was due to an increase in RNS gross margin, largely due to the increase in volume as our fixed manufacturing overhead costs were spread over more units. This increase was partially offset by the lower gross margin from distribution of DIXI medical products. R&D expense in the second quarter of 2024 was $6.1 million compared with $5.3 million in the same period of 2023. This increase was primarily driven by an increase in personnel related expenses and an increase in expenses for product development and clinical studies partially offset by an increase in grant funding. SG&A expense in the second quarter of 2024 was $14.3 million, compared with $14.5 million in the prior year period. This decrease was primarily due to an overall decrease in personnel related expenses as a result of personnel changes partially offset by an increase in sales and marketing expenses. Total operating expenses in the second quarter of 2024 were $20.4 million compared with $19.8 million in the same period of the prior year, representing growth of only 3%. With revenue growing by 17% for the quarter, we demonstrated strong operating leverage resulting from our focus on driving revenue growth while also effectively managing our operating expenses and cash. We continue to focus on balancing these objectives, which we expect to continue through the remainder of 2024. Loss from operations was $6.2 million in the second quarter of 2024 compared with $7.9 million in the prior year period. We recorded $2.2 million of interest rates interest expense in the second quarter of 2024 compared to $2.1 million in the prior year period. Net loss was $7.5 million for the second quarter of 2024 compared with $9.1 million in the second quarter of 2023. As discussed previously, we have maintained a disciplined expense management strategy resulting in cash burn in the second quarter of 2024 of $4 million compared to $4.4 million in the second quarter of 2023. Our cash and short-term investments balance as of June 30, 2024 was $55.5 million. Our long-term borrowings totaled $59 million as of June 30, 2024. As a reminder, the final maturity of our debt is September 30, 2026. Regarding annual guidance for 2024, we now expect our total revenue to be in a range of $76 million to $78 million, an increase of approximately 16% to 19%. This growth is expected to be mostly driven by an increase in sales of our RNS system, with growth from sales of DIXI medical products continuing to make a meaningful contribution. Replacement implant revenue is expected to be relatively consistent in 2024 compared with 2023. We expect our gross margin to be in a range of 72% to 74% for 2024, although we may see small variability due to fluctuations in the proportion of DIXI medical revenue to overall revenue and other factors. We expect operating expenses for 2024 to range between $80 million and $84 million, including approximately $12 million in stock-based compensation, a noncash expense. I would now like to turn the call back over to Joel for closing remarks. Joel?
Joel Becker: Thank you, Rebecca. We are excited to announce another solid quarter of revenue growth, coupled with meaningful gross margin expansion and the demonstration of operating expense discipline, all contributing to strong cash management in the second quarter. Additionally, we are continuing to make progress on the execution of our strategy of expanding access to RNS therapy to help close the treatment gap for drug resistant epilepsy patients, and I look forward to updating you on our progress through the second half of 2024. This concludes our prepared remarks. I would now like to turn the call over to the operator who will open the call for questions. Operator?
Operator: Thank you, sir. At this time, we will be conducting a question-and-answer session. [Operator Instructions] The first question we have comes from Vik Chopra of Wells Fargo. Please go ahead.
Vikramjeet Chopra: Hey, good afternoon and congratulations on a nice quarter. A couple of questions for me. So just on this project here, you referred to an increasing number of referrals. Maybe just talk about who these are coming from and if you can, some more color on the number or the cadence of the referrals or any other information you can share. And then I had a follow up please.
Joel Becker: Hi, excuse me. Hi, Vik. Good afternoon. Thank you for your question. Yeah, we have seen increasing activity and interest in care, both on the implants as well as the referral side. And interestingly, as well, really now the beginning of the development of a pipeline of these patients as well in targeted centers. So, what we've seen is that as centers get up and running, specifically on the referral side, they may identify patients who eventually might be able to be treated well in a community setting. But because they're just getting started, they may feel comfortable referring those initial patients in to a level four center while they, while they get underway with their training and education and get their program set up, et cetera. And then secondly, as well as we generate more awareness out in the community setting, as people look at their patient populations and evaluate different patients for potential RNS therapy, we see that there are patients who are uncovered who may be good candidates for referral into a level four center for phase two testing. A more traditional patient that either previously couldn't have or wouldn't have been referred back in. And so, our training and education and awareness efforts there around the technology as well as the role RNS therapy can play in somebody's practice and a focus on identification of patients that might be good candidates has led us to have both implants as well as referrals, as I've described here, with an increasing level of activity here in the recent quarter.
Vikramjeet Chopra: Okay, thank you. And then, you know, you raised the top line guidance, held the line on gross margins and OpEx. Maybe just help us understand how we should think about the margin cadence and the OpEx cadence for the back half of the year. Thank you very much.
Joel Becker: Do you maybe want to start us out here on margin and OpEx? Rebecca and I'll chime in.
Rebecca Kuhn: Sure. Absolutely. Yes. Vik, as you noted, we kept our gross margin and OpEx guidance consistent. Our gross margin can fluctuate due to a variety of factors. Generally, gross margin improves with RNS volume, and we expect that over time we expect to see improvements. But of course, it's not unexpected to see small variation quarter-to-quarter. With regard to operating expenses, our OpEx for the first half of the year was a little over $41 million, which puts us squarely within our guidance. If you annualize that throughout the rest of the year, we don't expect to see significant fluctuations in OpEx, although I will say sometimes we see some increases in the fourth quarter as a result of our major medical meeting, the AES Annual Meeting in December.
Operator: Thank you. The next question we have comes from Ross Osborn of Cantor Fitzgerald, please go ahead.
Ross Osborn: Hi guys, congrats on the strong quarter and thanks for taking our questions. So maybe on your revised revenue guidance, it looks like most of it's driven by the strong 2Q. So, kind of diving in there, would you walk through growth between utilization by existing users versus new ones coming on board, especially with the care program and then why you, I guess wouldn't expect that to continue throughout the back half?
Joel Becker: Hi Ross, thanks for the question and good to hear from you. Yeah. So, as we look at, you know, guidance as we, as we take it to starting point here, you know, Q1 at $18 million, Q2 at $19.3 million. So, we've got $37.4 million through the first half and we increased our guidance range from 73% to 77% to 76% to 78%, raising the top end, as you, as you mentioned. So really what we've got is we've got $37.4 million through the first half and our guidance range implies $38.6 million to $46 million in the second half. Now we're, we don't break that out by quarters, but with that given as a range, and I think we've talked about previously, we do have a little bit of seasonality in the summer months. We, we do expect growth obviously in the back half of the year and growth each quarter. So we recognize that, you know, the growth rate, it doesn't hold through the full calendar. But if you look at the second half of the year, guidance implies $40 million or so in the second half of the year versus $37 million in the first half of the year. Recognizing comps do get a little tougher from a growth rate perspective. We do see good growth and are looking to signal that there in the increased guidance as well.
Ross Osborn: Okay, understood. And then it's nice to see or hear that NAUTILUS is progressing well ahead of the expected expanded generalized indication and '26 launch. What are some key initiatives that are on deck for next year?
Joel Becker: Yeah, so it's a great question and you're right, NAUTILUS is on track and proceeding well and we're excited about the progress that we continue to make there. Some things I point to here, Ross, is we've talked about at length the pilot and expansion associated with the Project CARE program and we think that's a meaningful opportunity for us and is a significant area of focus for us as well number one, so the ability for us to expand outside of level four centers and both set ourselves up for potential direct RNS therapy as well as increasing referrals. So, one, Project CARE and that associated program. Two, the investments that we've been making and continue to make and just announced here this quarter the completion of the incremental hiring and training and now the implementation of our expanded commercial organization. And so really, we're going to take advantage of both the investments we've made previously as well as these most recent investments in our commercial organization to amplify growth in strong areas where we've got it, and then good overlap with the Project CARE programs as well to further support that. So that's a second key area of focus for us. And then, you know, we, we've also talked about, it's the three phase strategy, right. It's increasing adoption and utilization within level four centers. It's expanding site of service care delivery with Project CARE, and then it's expanding indications. So, you hit on NAUTILUS. I talked about Project CARE already. And then the third piece of it is expanding adoption and utilization within the level four centers. And a big area of focus for us there is what we talk about as the modern RNS story, and that's increasing both adoption, so broadening the scope of how people can use RNS therapy within currently indicated patients as well as utilization, which is, you know, additional and expanded patient populations. You've asked in the past about the hybrid use of the technology along with surgical applications. And there are other patient populations as well, including network stimulation for the treatment of focal drug resistant, focal epilepsy patients as well. So, it's really Project CARE and executing on that. It's then the expansion of the commercial organization and then the telling of the modern RNS story to increase adoption and utilization within the level four centers. And as may be clear to folks and may not be, those things also set us up well for the potential for expanding indications as NAUTILUS and assuming a successful trial expands and develops our approved patient indications. This work that we're doing now, both with Project CARE as well as investing in our commercial organization and expanding how people can use RNS therapy into different patient populations. All support then our eventual indication and expansion of both patients to be treated and where they can be treated. So, these things all work together between here and there.
Ross Osborn: Got it. Thanks for sharing your questions, and congrats again on the strong quarter.
Joel Becker: Thank you, Ross.
Operator: Thank you. The next question that we have comes from Mike Kratky of Leerink Partners. Please go ahead.
Mike Kratky: Hi, everyone. Thanks for taking our questions. One clarifying question to start, did you quantify how much you benefited from NAUTILUS enrollment in 2Q '23 that you backed out to get that 21% year-over-year growth for RNS sales this quarter?
Joel Becker: We didn't quantify that, Mike, and we're not going to start breaking things out by program and by product line. But the reason that we broke it out as a bullet point, the way that we did is just to note, and obviously, we can't comment on any off-label usage of the products and don't have any commentary around the trial outside of what we said about NAUTILUS. But we just wanted to provide that as a point, excluding NAUTILUS as a reminder to folks that there was a benefit in clinical trial revenue in '23 that we don't have in '24 that we think is an indicator of the, a good indication of the strength underlying strength of the business. So, we haven't broken it out. It's really included as a point of reminder to people that that was a benefit that we had in '23. And as you look at the growth in '24, that was something that we had to make up in addition to then demonstrate the current period growth.
Mike Kratky: Got it. Super helpful. Maybe just on that last point, is there anything we should be building in for the third and fourth quarter of this year on that side? And then maybe separately, I recognize it's early days, but really just curious on how any of the preliminary learnings from the pilot part of the Project CARE program have shaped your overall thinking on the commercial strategy from here and your efforts in the second half?
Joel Becker: Yeah. Thanks, Mike. And I guess what I would tee up there is just what we've learned is that, you know, there are important things for us here with regard to targeting, with regard to the training and education that we do, with regard to the benefits that people can see for both identifying patients to be potentially treated in their own centers, as well as the potential to treat patients or refer patients, rather, as well. And so that's all, that's all been very helpful as we think about the go forward strategy for CARE. And we continue to see significant opportunity there, both, as I mentioned, in the current focal drug-resistant population, as well as then we think about that, the potential, again, pending a successful NAUTILUS trial for an indication expansion with that population. Obviously, there isn't a requirement to refer those patients for phase two testing. So, even more opportunity associated with the presence in the community. And we think our learnings here during this process are going to be helpful as we think about that as well.
Mike Kratky: Understood. Thanks very much.
Joel Becker: Thanks, Mike.
Operator: Thank you. [Operator Instructions] The next question we have comes from Frank Takkinen of Lake Street Capital Markets. Please go ahead.
Frank Takkinen: Great. Thanks for taking my questions and congrats on all the progress. Also wanted to follow up on kind of the commentary around a lot of growth coming from prong one really going deep in the established level four center network. Anything you can provide us that can help us understand that growth a little bit better from a utilization at a per center level versus a new prescriber color on which of those two drove more of the growth in the quarter?
Joel Becker: Hi Frank, thanks for your question. It's a great question and as you say, really kind of focused here on the first plank of the strategy of growing both adoption and utilization in level four centers is really where the focus has been. And given our established kind of our footprint, our basis inside of level four centers, you know, we really, we really have been focused on driving both that adoption. You know, the number of prescribers using the RNS system as well as utilization. So, what is the rate at which they're using it? And there's two different pieces here for us, you know, in expanding adoption, that's where we're really focused, focused on, as we highlighted here in our prepared comments, the increasing number of prescribers. And then with regard to utilization, it's the modern RNS story, which is how do we expand the patients that people are thinking about utilization of RNS therapy for. And so, we have seen success in expanding the number of prescribers. And so that's been a key area of focus for us and we've seen good contributions to growth there. And then with regard to utilization, we've also seen good progress there. And in particular, I guess I'd call out the use of the RNS system for network stimulation applications as something that for treating focal populations, but treating those focal populations and treating the network have both been things that we've seen as impactful and they really obviously work together, expanding the number of users. We then move quickly from getting a new prescriber to working to deepen utilization for that prescriber as well. So, the two pieces of it really work closely together, but that's where our focus has been.
Frank Takkinen: Okay, that makes sense. And then maybe just for my second one, was hoping to ask about DIXI. When the partnership was established, there was obviously some benefit to understanding the patient funnel. Any quantifiable learnings you've taken from now having had that asset for some time, and I don't know if there's anything related to time from first EEG to RNS implant, if that's improved at all or any other broader learnings from having DIXI in the bag?
Joel Becker: Nothing that we're going to specifically quantify at this point, Frank, in terms of a metric. But I would say that we have seen where there are absolutely places, accounts where we get better visibility to where patients are at in the diagnostic process and can, as a result, have conversations earlier and sooner and about a broader group of patients than we would have if we hadn't had visibility to that. So it has helped broaden the visibility upstream and has helped in a number of accounts give us visibility we maybe wouldn't have had, especially in places where we may have people who aren't quite as tenured and that's given them a good opportunity to be part of those conversations and look further upstream.
Frank Takkinen: Perfect. Sounds good. Thanks for taking the questions.
Joel Becker: Thanks, Frank.
Operator: The next question we have comes from Robbie Marcus of JP Morgan. Please go ahead.
Robert Marcus: Oh, great. Thank you. Thanks for taking the questions. A couple from me. I wanted to circle back to a previous question on the implied second half growth rate. Obviously, I hear you're doing more in the second half of dollar wise versus the first half, but that's normal seasonality and that's sort of how most med tech businesses work. So, I was hoping you could just revisit the decelerating growth rate and walk us through the reasons. Is it due to the personnel cut? Is it due to a slowing in the market? Is it conservatism? Just help us think about the slowing growth rates, you know, more ignoring the dollar amount. That'd be helpful. Thanks.
Joel Becker: Thanks for the question, Robbie. And so I would just go back to a point that I made earlier, and we really don't. We really don't see it as a result of any cuts internally and we don't see it as any slowing in the market. We have seen what we consider to be good and healthy patient populations in our pipeline and we continue to work to invest in growing the top line as well as then demonstrating good operating expense discipline. But we're absolutely investing in the business. So, we don't see anything associated with that impact. We do see that there are, there is some seasonality that we expect in the summer months, and we've seen that previously. And we also do expect that when you look forward, the comps from prior year do get tougher in the back half of the year. So again, we do see where we're going to continue to grow the business in the second half of the year. We're excited about how we're positioned to grow the business and have been. But we also recognize that some of those comps from last year do get harder in the second half of the year and affect us from a growth rate perspective.
RobertMarcus: Okay. The reason I'm focused on the second half versus first half is because the street is sitting well above that second half growth rate in 2025. So, I'm trying to get a better sense. Is that the new normal? Is that a very conservative approach going out to '25? But I can move on. Just two quick ones from me. I'll ask you both. You talked a lot about DIXI and the contribution in revenue and the impact in gross margin, but I don't remember you giving us a revenue number for that, or even a percent of sales for a while. So, I was hoping you could just sync us up on DIXI, and then also maybe if you could give us your thoughts on how you'll be handling the debt when it comes due in two years. Thanks.
Joel Becker: I'll start us off there, Robbie, and then I'll ask Rebecca to chime in. With regard to DIXI you're right, we don't break the revenue up by product line. But at the end of 2023, we did provide the waypoint, the handhold of DIXI revenue being approximately 15% of our total sales. So, I think that would be an update from when we, as you referenced, from when we initiated the relationship, we had given that revenue number at, I believe it was $1.6 million at that time. And we've given the update at the end of '23. So, a couple quarters ago that the DIXI revenue percentage was about 15% of our total revenue. So, hopefully that gives you a little bit of help. With regard to the debt, obviously, we recently announced the extension of the maturity of the debt by a year out through September of 2026. That additional flexibility, we believe, gives us just that. It gives us the flexibility to continue to be able to manage the debt in a way that we think is going to be beneficial, as well as potentially take advantage should a lower interest rate environment develop. It gives us some flexibility there as well. So, I'll ask Rebecca if there's anything you want to comment on, on either one of those.
Rebecca Kuhn: I think you've covered it pretty well. We haven't specifically discussed plans for our debt. We continue to evaluate options, and we will continue to do that, considering what would be in the company's best interests and our shareholders best interests. And we have additional flexibility as a result of stretching it out, for stretching out the final maturity for a year, as Joel mentioned. So, I think actually, Joel covered it all pretty well.
RobertMarcus: Great. Thanks for taking the questions.
Joel Becker: You bet. Thank you, Robbie.
Operator: Thank you. Our final question comes from Michael Polark of Wolfe Research. Please go ahead.
Michael Polark: Thank you. Good afternoon. Two quick ones. Rebecca, in your prepared remark, I heard you made a comment about DIXI revenue contribution or mix across the quarters. I didn't quite catch what you said. Can you remind me what you said and what it means for modeling on DIXI? If anything?
Rebecca Kuhn: We commented, or I commented, that DIXI made a meaningful contribution to our revenue growth. And that's really about it. You know, with regard to our gross margin, of course, our gross margin is impacted by many factors. And as you know, and as we've said before, RNS has a greater gross margin than DIXI. We've stated before that DIXI, we believe, has a favorable gross margin for distributed products, but we really didn't say anything beyond that.
Joel Becker: Yes. The only other thing might be just that we offered that in the context of the, as Rebecca mentioned, in the context of the gross margin discussion, DIXI may have some variability due to small fluctuations relative to overall revenue from period to period, but nothing, nothing outside of that.
Rebecca Kuhn: Yeah.
Michael Polark: Okay. Okay. All right. The follow up was on just the incremental hiring and training. Can you remind me, have you quantified the scale of that? Like, in terms of territory expansion or headcount, quota carrying reps or clinical resources? I just. I don't recall. It was this. We've expanded it this much. Comment if there's any color there, I'd appreciate it. Thank you so much.
Joel Becker: Mike. What we've talked about there is, we've characterized the expansion as an incremental expansion. We chose that very carefully to just indicate that it's, we consider it big enough and it is commercially focused. So just to your question of clinical support or commercial, it is commercially focused resources and we've characterized it as an incremental expansion. So, it's big enough that we'd want to be talking about it, but we haven't had given it any specific headcount necessarily quantified at this point.
Michael Polark: Okay. Thank you so much.
Joel Becker: Yeah, thank you.
Operator: Thank you, ladies and gentlemen, we have reached the end of our question-and-answer session, and I would like to turn the call back to Joel Becker for closing remarks. Please go ahead, sir.
Joel Becker: Thank you. Thank you for everyone for your time and attention today. We're excited about the past quarter that the team has delivered and want to express our appreciation to everybody here at NeuroPace for all of the hard work. We're also excited about our strategy, the progress both in this quarter as well as our plans going forward for the remainder of the year and beyond. We are really very well positioned to continue to execute on all three phases of it. And the growth and our strategy and for what that means for the business now and into the future is further exciting to us. We look forward to updating you on all of that in future calls. Thanks again.
Operator: Thank you. Ladies and gentlemen, that then concludes today's conference. Thank you for joining us. You may now disconnect your lines.